Operator: Good afternoon, everyone, and welcome to the Arteris, Inc. fourth quarter and full year 2025 earnings call. Please note this call is being recorded and simultaneously webcast. All material contained in the webcast is the sole property and copyright of Arteris, Inc., with all rights reserved. For your opening remarks and introductions, I will now turn the call over to Erica Mannion of Sapphire Investor Relations. Please go ahead. Thank you, and good afternoon. With me today from Arteris, Inc. are Karel Charles Janac, Chief Executive Officer, and Nicholas Bryan Hawkins, Chief Financial Officer. Karel Janac will begin with a brief review of the business results for the fourth quarter ended 12/31/2025. Nicholas Hawkins will review the financial results for the fourth quarter and full year of 2025, followed by the company's outlook for the first quarter and full year of 2026. We will then open the call for questions. Before we begin, I would like to remind you that management will make statements during this call that are forward-looking statements within the meaning of the federal securities laws. These statements are based on management's current expectations and assumptions and involve material risks and uncertainties that could cause actual results or events to materially differ from those anticipated, and you should not place undue reliance on forward-looking statements. Additional information regarding these risks, uncertainties, and factors that could cause results to differ appear in the press release or materials issued today and in the documents and reports filed by Arteris, Inc. from time to time with the Securities and Exchange Commission. Please note, during this call, we will cite certain non-GAAP measures, including, among others, non-GAAP net loss, non-GAAP net loss per share, and free cash flow, which are not measures prepared in accordance with U.S. GAAP. The non-GAAP measures are presented as we believe that they provide investors with the means of evaluating and understanding how the company's management evaluates the company's operating performance. These non-GAAP measures should not be considered in isolation from, as substitutes for, or superior to financial measures prepared in accordance with U.S. GAAP. A reconciliation of these non-GAAP measures to the nearest GAAP measure can be found in the press release for the quarter ended 12/31/2025. In addition, for a definition of certain of the key performance indicators used in this presentation, such as annual contract value, confirmed design starts, and remaining performance obligations, please see the press release for the quarter ended 12/31/2025. These key performance indicators are presented for supplemental information purposes only and should not be considered a substitute for financial information presented in accordance with GAAP, and may differ from similarly titled metrics or measures used by other companies, securities analysts, or investors. Listeners who do not have a copy of the press release for the quarter ended 12/31/2025 may obtain a copy by visiting the Investor Relations section of the company's website. In addition, management will be referring to the fourth quarter 2025 earnings presentation which can be found in the Investor Relations section of the company's website under the Events and Presentations tab. Now I will turn the call over to CEO, Karel Charles Janac. Thank you, Erica. And thanks
Karel Charles Janac: to everyone for joining us on our call today. In 2025, we achieved many company records and milestones, including yet another record annual contract value plus royalty of $83,600,000, which represents a 28% year-on-year increase. This success was driven across our major vertical markets with the largest impacts in enterprise computing, automotive, and consumer electronics markets, but also across other applications, including communications, industrial, and aerospace and defense. Overall, we are seeing expanding proliferation of AI-driven semiconductor designs from data center to the edge as well as physical AI, which in turn drives increased deployment of Arteris, Inc. technology. Given the combination of the rising demand for efficient data movement in semiconductors in the AI era and our expanding set of innovative products that successfully meet the growing needs of our customers, I am proud to announce that our customers have now shipped over 4,000,000,000 chips and chiplets incorporating Arteris, Inc. network-on-chip IP as the underlying interconnect. This continues to positively impact our royalty revenue stream.
Operator: On January 14, we closed the acquisition of Cycuity,
Karel Charles Janac: a leading provider of semiconductor cybersecurity assurance products. Cycuity brings a rich history of strong collaborations with major commercial semiconductor companies as well as companies in the national security sector such as Booz Allen Hamilton and National Laboratories. The addition of Cycuity’s technology and expertise strengthens the Arteris, Inc. product portfolio, enabling chip designers to analyze and improve security in IP blocks, chiplets, and SoCs. Cycuity products enable the early detection of cybersecurity risks in the semiconductor hardware and firmware that serve as the foundation for all application software. The Cycuity products enable customers to uncover hardware security weaknesses and potential vulnerabilities and help to reduce associated security risks during the design phase prior to silicon manufacturing and end device production deployment. According to the National Institute of Standards and Technology, or NIST, newly reported cybersecurity silicon vulnerabilities grew by over 15 times in the last five years, with the unreported number likely much higher. The Cycuity acquisition will help us to address market concerns about the rapidly increasing volume of sophisticated cyberattacks targeting the vast amounts of data moving through semiconductors, from AI data centers to networks and a broad range of devices across the digital ecosystem. There is a growing need for cybersecurity domain expertise and proven technology which the Cycuity acquisition brings to Arteris, Inc., enabling us to proactively help customers address cybersecurity in processors and other silicon devices. We believe this product line can be used by all of our existing customers as well as others in a broader semiconductor and systems ecosystem that are not current customers. Our vision is to bring improved hardware security and advanced vulnerability testing to all SoCs, thereby extending our Arteris, Inc. reach meaningfully in terms of new customers and new entry points for every design regardless of complexity. Moving on to our organically developed products, all of which experienced strong customer adoption in 2025. FlexNoC, our AI-driven smart NoC IP product announced a year ago, saw a strong uptick in customer adoption and has now been licensed for over 30 production device deployments across each of our vertical end markets with customers including AMD for AI chiplet designs, DreamChip for automotive, and NanoXplore for aerospace applications. FlexNoC’s initial success reflects the growing need for optimized chip designs for lower power usage and latency combined with accelerated development cycles. This is particularly true for complex SoCs and chiplet designs in today's AI era, which have high performance and low power goals, and tight market windows in which to deliver silicon. Accordingly, we expect FlexNoC momentum to continue in 2026. In 2025, we also saw strength in the licensing of our cache-coherent interconnect IP product, Ncore, across various edge and server applications. For example, in early fourth quarter 2025, Altera selected Ncore and FlexNoC products from Arteris, Inc. to advance intelligent computing from cloud to edge applications. This significant order underscores Arteris, Inc.’s ability to support large customers across multiple of their product generations, an ability that drives our 90%+ customer retention rate. We continue to see growing adoption of our product portfolio by top technology companies and large enterprises. An example of this is NXP, which delivers purpose-built, rigorously tested technologies that enable devices to sense, think, and act intelligently. We recently announced that NXP has expanded its use of Arteris, Inc. products to accelerate edge AI efforts. NXP is deploying Arteris, Inc. more broadly across its AI-enabled silicon solutions including for intelligent vehicles, advanced industrial systems, and secure, seamless customer experiences on the edge. This includes our Ncore and FlexNoC network-on-chip IPs, CodaCache last-level cache IP, and Magillem SoC integration software. NXP is using these products to develop the latest AI-driven silicon designs including SoCs, neural processing units, or NPUs, and microcontrollers, or MCUs, with safe and secure high-performance data movement. Another example of a recent win is Black Sesame, which also licenses both cache-coherent and non-coherent interconnect IPs for their devices' dual needs with Ncore and FlexNoC being used to address the automotive industry's demand for automated driving silicon. Black Sesame develops a broad range of automotive semiconductors that spans from high-performance SoCs for AI autonomous driving to cross-domain SoCs used in a broad range of vehicles. Our Arteris, Inc. technology provides the high-performance network-on-chip connectivity with safety that is critical for designing tomorrow's complex automotive SoCs and achieving time-to-market requirements. Power consumption is a key factor in new SoC designs, particularly those supporting AI workloads. In the fourth quarter, Blaize deployed Arteris, Inc. system IP for their scalable, energy-efficient AI silicon. The Blaize AI platform delivers a programmable, energy-efficient foundation for hybrid AI deployment models spanning edge and cloud infrastructure, which enables users to build multimodal AI inference for smart vision, sensing, acoustic monitoring, and real-time language understanding at the edge for industrial, transportation, and smart surveillance applications. By using our Arteris, Inc. interconnect IP, they can ensure efficient data movement along with reduction in power consumption. AI is also increasingly driving chiplet projects. The number of chiplet projects incorporating Arteris, Inc. technology more than tripled over the past two years. All of these projects require state-of-the-art Arteris, Inc. technology and close collaboration with multiple ecosystem partners, which has been a major focus for us over the years. In the fourth quarter, we announced that Arteris, Inc. is a founding member of the CHASSIS program which aims to create an open automotive chiplet platform. Led by Bosch, this initiative includes automotive OEMs such as BMW, Renault, and Stellantis as well as automotive suppliers, semiconductor companies, EDA and software providers, and research entities
Operator: with Arteris, Inc. providing
Karel Charles Janac: network-on-chip expertise and chiplet and multi-die SoC interconnect technology. Arteris, Inc. is also part of Cadence’s recently announced strategic collaboration with Arm, Samsung Foundry, and other IP partners to deliver pre-validated chiplet solutions. The goal of this initiative is to reduce engineering complexity and accelerate time to market for mutual customers developing chiplets targeting physical AI, data centers, and high-performance computing, or HPC, applications with Arteris, Inc. interconnect IP enabling the underlying data movement. Our customers continue to innovate in exciting growth areas such as AI-enabled chips and chiplets from data centers to edge devices. The same is true for physical AI, which is based on foundational silicon combining computing, sensing, and data movement to interact with the real world. Physical AI requires a combination of quality, high performance, energy efficiency, functional safety, and cybersecurity, among others, which is supported by our products. Overall, Arteris, Inc. is in a strong position to support semiconductor applications in the AI era across enterprise computing infrastructure, autonomous vehicle decision making, advanced communications, smarter consumer electronics, industrial automation, and aerospace and defense use cases. With the addition of Cycuity to our product offering, we have the opportunity to become a leader in SoC security solutions for our existing customer base, as well as a door opener to other companies who design SoCs, thereby helping us to realize our mission of enabling every design with leading-edge Arteris, Inc. technology. With that, I will turn it over to Nicholas Hawkins to discuss our financial results in more detail. Thank you, Karel.
Nicholas Bryan Hawkins: And good afternoon, everyone. As I review our fourth quarter and full year results for 2025 today, please note I will be referring to GAAP as well as non-GAAP metrics. Please note that our reconciliation of GAAP to non-GAAP financials is included in today's earnings release, which is available on our website. Also, as a reminder, I will be referring to the 4Q 2025 earnings presentation which can be found in the Investor Relations section of the company's website under the Events and Presentations tab. We had a strong fourth quarter, beating our guidance on all financial measures. The Cycuity acquisition closed in January 2026. Therefore, the Cycuity financial performance is not included in any of our reported results for 2025. However, our guidance for the first quarter and the full year 2026 incorporates the expected financial results of the Cycuity business from 01/14/2026 onwards. Turning to slide five of the presentation. Total revenue for the fourth quarter was $20,100,000, up 16% sequentially and 30% year over year, and above the top end of our guidance range. For the full year 2025, total revenue was $70,600,000, 22% higher year over year. Notably, variable royalties were 50% higher year over year with the fourth quarter setting a new record. Our royalty stream today is fueled by a balanced mix of customers across all our vertical markets, with the number of large royalty reporters tripling in the last two years. At the end of the fourth quarter, annual contract value plus royalties was $83,600,000, up 28% year over year, above the top end of our guidance range, and at a new record high. Remaining performance obligations, or RPO, which is our contracted future revenue, at the end of the fourth quarter totaled $117,000,000, representing a 32% year-over-year increase, another record high for the company. As disclosed in the notes to our financial statements, we expect approximately half of our RPO will be recognized as revenue in 2026. This projection excludes cancelable and non-cancelable FSA. Non-GAAP gross profit in the quarter was $18,500,000, representing a gross margin of 92%. GAAP gross profit in the quarter was $18,300,000, representing a gross margin of 91%. For the full fiscal year, non-GAAP gross profit was $64,800,000, representing a gross margin of 92%. GAAP gross profit was $63,700,000, representing gross margin of 90%. Now turning to slide six. Non-GAAP operating expense in the quarter was $20,800,000. We continue to reinvest a portion of our top-line growth into technology innovations, customer solution support, and our global sales team. Total GAAP operating expense for the fourth quarter was $26,700,000, which included acquisition-related expenses of $1,400,000 in the fourth quarter. For the full fiscal year, non-GAAP operating expense, which excludes the Cycuity acquisition expenses, was $77,200,000, representing an increase of 14% from the prior year. This was broadly in line with our long-term goal to manage the rate of increase in non-GAAP operating expense to around half that of the rate of increase in revenue. GAAP operating expense for the year was $96,800,000. We believe that our ongoing investments will help accelerate our top-line growth in the coming years. At the same time, we are delivering operating leverage by controlling G&A spending, which has now remained broadly flat on a non-GAAP basis for over three years. This has resulted in eight percentage point year-over-year improvement on non-GAAP operating margin. Non-GAAP operating loss in the quarter was $2,200,000, also above the top end of our guidance range. For the full 2025 fiscal year, non-GAAP operating loss was $12,500,000, representing a $2,400,000 improvement over the result for the prior year, and at the top end of our guidance range. GAAP operating loss for the fourth quarter was $8,500,000 compared to a loss of $7,100,000 in the prior-year period. For the full year, GAAP operating loss was $33,100,000. Non-GAAP net loss in the quarter was $2,300,000, or diluted net loss per share of $0.05 based on approximately 43,700,000 weighted average diluted shares outstanding. GAAP net loss in the quarter was $8,500,000, or diluted net loss per share of $0.19. For the full fiscal year, non-GAAP net loss was $14,100,000, or diluted net loss per share of $0.33 based on approximately 42,300,000 weighted average diluted shares outstanding. GAAP net loss for 2025 was $34,700,000, or diluted net loss per share of $0.82. Moving to slide seven and turning to the balance sheet and cash flow. We ended the year with $59,500,000 in cash, cash equivalents, and investments, and we have no financial debt. Free cash flow, which includes capital expenditure, was positive $3,000,000 for the fourth quarter and positive $5,300,000 for the full year, close to the top end of our guidance range. I would now like to turn to our outlook for the first quarter and full year 2026, and refer now to slide eight. For the first quarter 2026, we expect ACV plus royalties of $85,000,000 to $89,000,000, revenue of $20,500,000 to $21,500,000, with non-GAAP operating loss of $3,500,000 to $2,500,000, and non-GAAP free cash flow of negative $1,500,000 to positive $1,500,000. For the full year 2026, our guidance is as follows: ACV plus royalties to exit 2026 at $100,000,000 to $104,000,000; revenue of $89,000,000 to $93,000,000, including approximately $7,000,000 from the Cycuity business, noting that the majority of revenue derived from the Cycuity business we expect to be ratable; non-GAAP operating loss of between $9,000,000 to $5,000,000, approximately $1,000,000 of which we expect to be related to the Cycuity acquisition; and non-GAAP free cash flow of positive $5,000,000 to positive $9,000,000. Building on the strong deal execution in 2025, illustrated by the 32% year-over-year growth in RPO exiting the fourth quarter, and incorporating the anticipated growth in Cycuity’s semiconductor cybersecurity assurance software business, we continue to believe that Arteris, Inc. is on a path to profitability. We expect to report a non-GAAP operating profit for a period as early as 2026. With that, I will turn the call back to the operator for the Q&A portion of our call. Operator?
Operator: Thank you. Ladies and gentlemen, we will now begin the question and answer session. You will hear a tone acknowledging your request. If you are using a speakerphone, please pick up your handset before pressing any keys. To withdraw your question, please press star then 2. We will pause for a moment as callers join the queue. We have a question from Kevin Garrigan from Jefferies. Your line is open. We have a question from Madison DePaula from Rosenblatt Securities. Your line is open. Can you help us size the cross-sell opportunity by outlining which customer segments you expect to engage first and expand on how Cycuity changes your ability to increase content per customer over time?
Karel Charles Janac: Yes. So, hardware security assurance is becoming a major issue. As we said on the earnings call, there is about 15x growth in hardware security attacks on semiconductors. So hardware security is becoming a major issue. And because of that, we are very excited about the Cycuity hardware assurance software because it not only can be used by our substantially larger customer base, but it can be used by essentially any semiconductor company, and those chips have to be protected regardless of the complexity. So we think that it opens up a significant opportunity to enhance the system IP value that we provide, but also to address basically any semiconductor out there. So we are very excited about what we have been able to accomplish, and we look forward to keeping you updated on our progress.
Operator: Okay, great. Thank you. Again, if you would like to ask a question, please press star then 1. Our next question is from Kevin Garrigan from Jefferies. Your line is open.
Kevin Garrigan: Yes. Hey, guys. Sorry about that. Congrats on the great results and outlook, and thanks for taking my questions. Your NXP announcement—so NXP is now using four of your solutions, which I think is probably up from one or maybe two. Are you seeing more interest from customers to deploy an entire suite of solutions? And I would imagine that if you do get customers that are deploying the entire suite, that puts your licensing ASPs well above the $1,000,000 that you were targeting a couple years ago?
Karel Charles Janac: Yes, absolutely. And if you use everything from us prior to the Cycuity acquisition, you are going to be well north of $1,000,000. And with Cycuity, it is going to be higher than that. So we basically have more to sell to our customers. And cybersecurity is a big issue now. A lot of markets such as automotive and aerospace, and even data center, are requiring ISO 21434 certification for cybersecurity protection. And so we think that this certainly helps drive the ASP significantly above the $1,000,000 average project size. And also, the other thing that is helping to go above the $1,000,000 is that the chiplet projects—you are dealing with multiple pieces of silicon where essentially every chiplet is a license and every chiplet is a royalty—also helps that trend. So we are very positive about the dynamics of our business. Yes.
Kevin Garrigan: Got it. That makes a ton of sense. And then, Nicholas, just a question for you. Can you talk a little bit more about the strength in royalties that you saw? Was there a specific end market that saw surprising strength, or was it more just about your customer diversification strategy?
Nicholas Bryan Hawkins: It is a little bit of both. And hi, Kevin. Thanks for joining the call. You may have seen that the number of major reporters has grown from one five years ago to three about two years ago to nine today. So there are big reporters of the six-figure-plus per quarter royalty reporters. That is a really important metric to us. And one of the issues that we look at there is the spread across geos and also across market verticals. Of those nine large reporters today, they are spread across several segments. There are several in the automotive segment, and that remains our largest single vertical. But we do have now very rapidly emerging consumer, enterprise, and even now aerospace large reporters. So I am very happy that it is a broad spectrum of strength and look forward to some further growth in the future.
Kevin Garrigan: Yes. Got it. Okay. Perfect. Thanks, guys, and congrats on the results.
Karel Charles Janac: Thank you. Thanks, Kevin.
Operator: Once again, if you would like to ask a question, please press star then 1. Our next question is from Gus Richard from Northland. Your line is
Gus Richard: Yes. Thanks for taking the question and congratulations on the results. In Q4, the royalties had a significant quarter-on-quarter step up. Is there any catch-up royalty in that number, or should we expect that to be the run rate going forward, with a seasonal bias?
Nicholas Bryan Hawkins: Yes. No. That is an excellent question, Gus, and welcome to the call. There was a single royalty pickup which was reasonably sized. It was less than half $1,000,000, but that is a decent pickup, which we saw in the fourth quarter. So it did get a bit of a boost from that. So the 50% variable increase includes that. If you exclude that, the growth rate year over year was still in the low 40s percent, which is above our trajectory and our longer-term guidance CAGR for the next five years. So we are very happy that it is already growing at that rate. Audits—you can never guarantee when they are going to produce a positive result for the company. When they happen, they are great, but you cannot bank on them.
Gus Richard: Got it. And then, just a little bit about Cycuity and its impact on the P&L. My top line went up at the midpoint of guidance about $7,000,000. How much of that was Cycuity for the full year? And can you talk a little bit about the impact on the P&L in terms of step up in OpEx going forward?
Nicholas Bryan Hawkins: Yes. That is another excellent question, Gus. So of the $91,000,000 midpoint guide—it is $89,000,000 to $93,000,000 is the range for revenue in 2026—of that $91,000,000, approximately $7,000,000 is Cycuity. So $84,000,000 is the Arteris, Inc. original business. And that represents about a 19% year-over-year growth. As far as the rest of the financial impact from Cycuity, we do expect them to be a slight contributor to the loss for the year, so about $1,000,000 worth of loss. By the fourth quarter, we expect them to be roughly at breakeven, which is in line with the pre-Cycuity Arteris, Inc. business. As far as free cash flow is concerned, we are also expecting them to be something like $1,000,000 to the negative over the full year and about $1,500,000 negative in the first quarter. This often happens in acquisitions, as I am sure you have seen before. There is a little nuance around gross margins. Some of the government work that they do actually involves subcontractors. The GAAP accounting for subcontractors is that those expenses are not OpEx; they are treated as cost of revenue. So there is something like a one to two percentage point drop in gross margin intensity, but that is literally a flip between OpEx and gross margin.
Gus Richard: Okay. Got it. That was helpful. And then my last one is, when you did the Cycuity acquisition, you guys announced an ATM and you were going to use that to replace the cash that you used for the acquisition. Where are you in that equity-raising effort and when can we expect that to conclude?
Nicholas Bryan Hawkins: We are in the process of going through the activation, Gus. We cannot activate during a quiet period, as you probably know, because we have MNPI during that period before we announce our results. We will be going through the activation process shortly. We then are going through a process of setting up the traditional guardrails. We have a pricing committee on the board, and they will agree guardrails in terms of pricing and quantum. You can expect maybe some small amounts to dribble through in the first quarter. It really depends on how the market moves and so on. We have no intent at the moment to utilize anything close to the full amount that is available there.
Gus Richard: Got it. Well, that was a buzz kill. Thanks for the help.
Operator: There are no questions at this time. I would now like to turn the conference back to Karel Janac for the closing remarks. Please go ahead.
Karel Charles Janac: Okay. Thank you for your interest in Arteris, Inc. We look forward to meeting with you at the upcoming non-deal roadshow and investor conferences in the quarters ahead and updating you on our business progress. Thank you very much.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect. Good afternoon, everyone, and welcome to the Arteris, Inc. fourth quarter and full year 2025 earnings call. Please note this call is being recorded and simultaneously webcast. All material contained in the webcast is the sole property and copyright of Arteris, Inc., with all rights reserved. For your opening remarks and introductions, I will now turn the call over to Erica Mannion of Sapphire Investor Relations. Please go ahead. Thank you, and good afternoon. With me today from Arteris, Inc. are Karel Charles Janac, Chief Executive Officer, and Nicholas Bryan Hawkins, Chief Financial Officer. Karel Janac will begin with a brief review of the business results for the fourth quarter ended 12/31/2025. Nicholas Hawkins will review the financial results for the fourth quarter and full year of 2025, followed by the company's outlook for the first quarter and full year of 2026. We will then open the call for questions. Before we begin, I would like to remind you management will make statements during this call that are forward-looking statements within the meaning of the federal securities laws. These statements are based on management's current expectations and assumptions and involve material risks and uncertainties that could cause actual results or events to materially differ from those anticipated, and you should not place undue reliance on forward-looking statements. Additional information regarding these risks, uncertainties, and factors that could cause results to differ appear in the press release or materials issued today and in the documents and reports filed by Arteris, Inc. from time to time with the Securities and Exchange Commission. Please note, during this call, we will cite certain non-GAAP measures, including, among others, non-GAAP net loss, non-GAAP net loss per share, and free cash flow, which are not measures prepared in accordance with U.S. GAAP. The non-GAAP measures are presented as we believe that they provide investors with the means of evaluating and understanding how the company's management evaluates the company's operating performance. These non-GAAP measures should not be considered in isolation from, as substitutes for, or superior to financial measures prepared in accordance with U.S. GAAP. A reconciliation of these non-GAAP measures to the nearest GAAP measure can be found in the press release for the quarter ended 12/31/2025. In addition, for a definition of certain of the key performance indicators used in this presentation, such as annual contract value, confirmed design starts, and remaining performance obligations, please see the press release for the quarter ended 12/31/2025. These key performance indicators are presented for supplemental information purposes only and should not be considered a substitute for financial information presented in accordance with GAAP, and may differ from similarly titled metrics or measures used by other companies, securities analysts, or investors. Listeners who do not have a copy of the press release for the quarter ended 12/31/2025 may obtain a copy by visiting the Investor Relations section of the company's website. In addition, management will be referring to the fourth quarter 2025 earnings presentation which can be found in the Investor Relations section of the company's website under the Events and Presentations tab. Now I will turn the call over to CEO, Karel Janac.
Karel Charles Janac: Thank you, Erica, and thanks to everyone for joining us on our call today. In 2025, we achieved many company records and milestones, including yet another record annual contract value plus royalties of $83,600,000, which represents a 28% year-on-year increase. This success was driven across our major vertical markets with the largest impacts in enterprise computing, automotive, and consumer electronics markets, but also across other applications, including communications, industrial, and aerospace and defense. Overall, we are seeing expanding proliferation of AI-driven semiconductor designs from data center to the edge as well as physical AI, which in turn drives increased deployment of Arteris, Inc. technology. Given the combination of the rising demand for efficient data movement in semiconductors in the AI era and our expanding set of innovative products that successfully meet the growing needs of our customers, I am proud to announce that our customers have now shipped over 4,000,000,000 chips and chiplets incorporating Arteris, Inc. network-on-chip IP as the underlying interconnect. This continues to positively impact our royalty revenue stream. On January 14, we closed the acquisition of Cycuity, a leading provider of semiconductor cybersecurity assurance products. Cycuity brings a rich history of strong collaborations with major semiconductor companies, as well as companies in the national security sector such as Booz Allen Hamilton and National Laboratories. The addition of Cycuity’s technology and expertise strengthens the Arteris, Inc. product portfolio, enabling chip designers to analyze and improve security in IP blocks, chiplets, and SoCs. Cycuity products enable the early detection of cybersecurity risks in the semiconductor hardware and firmware that serve as the foundation for all application software. The Cycuity products enable customers to uncover hardware security weaknesses and potential vulnerabilities and help to reduce associated security risks during the design phase prior to silicon manufacturing and end device production deployment. According to the National Institute of Standards and Technology, or NIST, newly reported cybersecurity silicon vulnerabilities grew by over 15 times in the last five years, with the unreported number likely much higher. The Cycuity acquisition will help us to address market concerns about the rapidly increasing volume of sophisticated cyberattacks targeting the vast amounts of data moving through semiconductors, from AI data centers to networks and a broad range of devices across the digital ecosystem. There is a growing need for cybersecurity domain expertise and proven technology which the Cycuity acquisition brings to Arteris, Inc., enabling us to proactively help customers address cybersecurity in processors and other silicon devices. We believe this product line can be used by all of our existing customers as well as others in a broader semiconductor and systems ecosystem that are not current customers. Our vision is to bring improved hardware security and advanced vulnerability testing to all SoCs, thereby extending our Arteris, Inc. reach meaningfully in terms of new customers and new entry points for every design regardless of complexity. Moving on to our organically developed products, all of which experienced strong customer adoption in 2025. FlexNoC, our AI-driven smart NoC IP product announced a year ago, saw a strong uptick in customer adoption and has now been licensed for over 30 production device deployments across each of our vertical end markets with customers including AMD for AI chiplet designs, DreamChip for automotive, and NanoXplore for aerospace applications. FlexNoC’s initial success reflects the growing need for optimized chip designs for lower power usage, and latency combined with accelerated development cycles. This is particularly true for complex SoCs and chiplet designs in today's AI era, which have high performance and low power goals, and tight market windows in which to deliver silicon. Accordingly, we expect FlexNoC momentum to continue in 2026. In 2025, we also saw strength in the licensing of our cache-coherent interconnect IP product, Ncore, across various edge and server applications. For example, in early fourth quarter 2025, Altera selected Ncore and FlexNoC products from Arteris, Inc. to advance intelligent computing from cloud to edge applications. This significant order underscores Arteris, Inc.’s ability to support large customers across multiple of their product generations, an ability that drives our 90%+ customer retention rate. We continue to see growing adoption of our product portfolio by top technology companies and large enterprises. An example of this is NXP, which delivers purpose-built, rigorously tested technologies that enable devices to sense, think, and act intelligently. We recently announced that NXP has expanded its use of Arteris, Inc. products to accelerate edge AI efforts. NXP is deploying Arteris, Inc. more broadly across its AI-enabled silicon solutions including for intelligent vehicles, advanced industrial systems, and secure, seamless customer experiences on the edge. This includes our Ncore and FlexNoC network-on-chip IPs, CodaCache last-level cache IP, and Magillem SoC integration software. NXP is using these products to develop the latest AI-driven silicon designs including SoCs, neural processing units, or NPUs, and microcontrollers, or MCUs, with safe and secure high-performance data movement. Another example of a recent win is Black Sesame, which also licenses both cache-coherent and non-coherent interconnect IPs for their devices' dual needs with Ncore and FlexNoC being used to address the automotive industry's demand for automated driving silicon. Black Sesame develops a broad range of automotive semiconductors that spans from high-performance SoCs for AI autonomous driving to cross-domain SoCs used in a broad range of vehicles. Our Arteris, Inc. technology provides the high-performance network-on-chip connectivity with safety that is critical for designing tomorrow's complex automotive SoCs and achieving time-to-market requirements. Power consumption is a key factor in new SoC designs, particularly those supporting AI workloads. In the fourth quarter, Blaize deployed Arteris, Inc. system IP for their scalable, energy-efficient AI silicon. The Blaize AI platform delivers a programmable, energy-efficient foundation for hybrid AI deployment models spanning edge and cloud infrastructure, which enables users to build multimodal AI inference for smart vision, sensing, acoustic monitoring, and real-time language understanding at the edge for industrial, transportation, and smart surveillance applications. By using our Arteris, Inc. interconnect IP, they can ensure efficient data movement along with reduction in power consumption. AI is also increasingly driving chiplet projects. The number of chiplet projects incorporating Arteris, Inc. technology more than tripled over the past two years. All of these projects require state-of-the-art Arteris, Inc. technology and close collaboration with multiple ecosystem partners, which has been a major focus for us over the years. In the fourth quarter, we announced that Arteris, Inc. is a founding member of the CHASSIS program which aims to create an open automotive chiplet platform. Led by Bosch, this initiative includes automotive OEMs such as BMW, Renault, and Stellantis as well as automotive suppliers, semiconductor companies, EDA and software providers, and research entities with Arteris, Inc. providing network-on-chip expertise and chiplet and multi-die SoC interconnect technology. Arteris, Inc. is also part of Cadence’s recently announced strategic collaboration with Arm, Samsung Foundry, and other IP partners to deliver pre-validated chiplet solutions. The goal of this initiative is to reduce engineering complexity and accelerate time to market for mutual customers developing chiplets targeting physical AI, data centers, and high-performance computing, or HPC, applications with Arteris, Inc. interconnect IP enabling the underlying data movement. Our customers continue to innovate in exciting growth areas, such as AI-enabled chips and chiplets from data centers to edge devices. The same is true for physical AI, which is based on foundational silicon combining computing, sensing, and data movement to interact with the real world. Physical AI requires a combination of quality, high performance, energy efficiency, functional safety, and cybersecurity, among others, which is supported by our products. Overall, Arteris, Inc. is in a strong position to support semiconductor applications in the AI era across enterprise computing infrastructure, autonomous vehicle decision making, advanced communications, smarter consumer electronics, industrial automation, and aerospace and defense use cases. With the addition of Cycuity to our product offering, we have the opportunity to become a leader in SoC security solutions for our existing customer base, as well as a door opener to other companies who design SoCs, thereby helping us to realize our mission of enabling every design with leading-edge Arteris, Inc. technology. With that, I will turn it over to Nicholas Hawkins to discuss our financial results in more detail.
Nicholas Bryan Hawkins: Thank you, Karel. And good afternoon, everyone. As I review our fourth quarter and full year results for 2025 today, please note I will be referring to GAAP as well as non-GAAP metrics. Please note that our reconciliation of GAAP to non-GAAP financials is included in today's earnings release, which is available on our website. Also, as a reminder, I will be referring to the 4Q 2025 earnings presentation which can be found in the Investor Relations section of the company's website under the Events and Presentations tab. We had a strong fourth quarter beating our guidance on all financial measures. The Cycuity acquisition closed in January 2026. Therefore, the Cycuity financial performance is not included in any of our reported results for 2025. However, our guidance for the first quarter and the full year 2026 incorporates the expected financial results of the Cycuity business from 01/14/2026 onwards. Turning to slide five of the presentation. Total revenue for the fourth quarter was $20,100,000, up 16% sequentially and 30% year over year and above the top end of our guidance range. For the full year 2025, total revenue was $70,600,000, 22% higher year over year. Notably, variable royalties were 50% higher year over year with the fourth quarter setting a new record. Our royalty stream today is fueled by a balanced mix of customers across all our vertical markets, with the number of large royalty reporters tripling in the last two years. At the end of the fourth quarter, annual contract value plus royalties was $83,600,000, up 28% year over year. Above the top end of our guidance range and at a new record high. Remaining performance obligations, or RPO, which is our contracted future revenue, at the end of the fourth quarter totaled $117,000,000, representing a 32% year-over-year increase. Another record high for the company. As disclosed in the notes to our financial statements, we expect approximately half of our RPO will be recognized as revenue in 2026. This projection excludes cancelable and non-cancelable FSA. Non-GAAP gross profit in the quarter was $18,500,000, representing a gross margin of 92%. GAAP gross profit in the quarter was $18,300,000, representing a gross margin of 91%. For the full fiscal year, non-GAAP gross profit was $64,800,000, representing a gross margin of 92%. GAAP gross profit was $63,700,000, representing gross margin of 90%. Now turning to slide six. Non-GAAP operating expense in the quarter was $20,800,000. We continue to reinvest a portion of our top-line growth into technology innovations, customer solution support, and our global sales team. Total GAAP operating expense for the fourth quarter was $26,700,000, which included acquisition-related expenses of $1,400,000 in the fourth quarter. For the full fiscal year, non-GAAP operating expense, which excludes the Cycuity acquisition expenses, was $77,200,000, representing an increase of 14% from the prior year. This was broadly in line with our long-term goal to manage the rate of increase in non-GAAP operating expense to around half that of the rate of increase in revenue. GAAP operating expense for the year was $96,800,000. We believe that our ongoing investments will help accelerate our top-line growth in the coming years. At the same time, we are delivering operating leverage by controlling G&A spending, which has now remained broadly flat on a non-GAAP basis for over three years. This has resulted in eight percentage point year-over-year improvement on non-GAAP operating margin. Non-GAAP operating loss in the quarter was $2,200,000, also above the top end of our guidance range. For the full 2025 fiscal year, non-GAAP operating loss was $12,500,000, representing a $2,400,000 improvement over the result for the prior year, and at the top end of our guidance range. GAAP operating loss for the fourth quarter was $8,500,000 compared to a loss of $7,100,000 in the prior-year period. For the full year, GAAP operating loss was $33,100,000. Non-GAAP net loss in the quarter was $2,300,000, or diluted net loss per share of $0.05 based on approximately 43,700,000 weighted average diluted shares outstanding. GAAP net loss in the quarter was $8,500,000, or diluted net loss per share of $0.19. For the full fiscal year, non-GAAP net loss was $14,100,000, or diluted net loss per share of $0.33 based on approximately 42,300,000 weighted average diluted shares outstanding. GAAP net loss for 2025 was $34,700,000, or diluted net loss per share of $0.82. Moving to slide seven and turning to the balance sheet and cash flow. We ended the year with $59,500,000 in cash, cash equivalents, and investments. And we have no financial debt. Free cash flow, which includes capital expenditure, was positive $3,000,000 for the fourth quarter and positive $5,300,000 for the full year, close to the top end of our guidance range. I would now like to turn to our outlook for the first quarter and full year 2026, and refer now to slide eight. For the first quarter 2026, we expect ACV plus royalties of $85,000,000 to $89,000,000, revenue of $20,500,000 to $21,500,000, with non-GAAP operating loss of $3,500,000 to $2,500,000, and non-GAAP free cash flow of negative $1,500,000 to positive $1,500,000. For the full year 2026, our guidance is as follows: ACV plus royalties to exit 2026 at $100,000,000 to $104,000,000. Revenue of $89,000,000 to $93,000,000 including approximately $7,000,000 from the Cycuity business, noting that the majority of revenue derived from the Cycuity business we expect to be ratable. Non-GAAP operating loss of between $9,000,000 to $5,000,000, approximately $1,000,000 of which we expect to be related to the Cycuity acquisition and non-GAAP free cash flow of positive $5,000,000 to positive $9,000,000. Building on the strong deal execution in 2025, illustrated by the 32% year-over-year growth in RPO exiting the fourth quarter, and incorporating the anticipated growth in Cycuity’s semiconductor cybersecurity assurance software business, we continue to believe that Arteris, Inc. is on a path to profitability. We expect to report a non-GAAP operating profit for a period as early as 2026. With that, I will turn the call back to the operator for the Q&A portion of our call. Operator?
Operator: Thank you. Ladies and gentlemen, we will now begin the question and answer session. You will hear a tone acknowledging your request. If you are using a speakerphone, please pick up your handset before pressing any keys. To withdraw your question, please press star then 2. We will pause for a moment as callers join the queue. We have a question from Kevin Garrigan from Jefferies. Your line is open.
Operator: From Madison DePaula from Rosenblatt Securities. Your line is open.
Madison DePaula: Can you help us size the cross-sell opportunity? By outlining which customer segments you expect to engage first and kind of expand on how Cycuity changes your ability to increase content per customer over time?
Karel Charles Janac: Yes. So, you know, hardware security assurance is becoming a major issue as we said on the earnings call, there is about a 15x growth in sort of hardware attacks, security attacks on semiconductors. So hardware security is becoming a major issue. And because of that, we are very excited about the Cycuity hardware assurance software because normally it can be used by our substantially larger customer base, but it can be used by essentially any semiconductor company, and those chips have to be protected regardless of the complexity. So we think that it opens up a significant opportunity to enhance the system IP value that we provide, but also to address basically any semiconductor out there. So we are very excited about what we have been able to accomplish, and we will look forward to keeping you updated on our progress.
Madison DePaula: Okay, great. Thank you.
Operator: Again, if you would like to ask a question, please press star then 1. Our next question is from Kevin Garrigan from Jefferies. Your line is open.
Kevin Garrigan: Yes. Hey, guys. Sorry about that. Congrats on the great results and outlook, and thanks for taking my questions. Your NXP announcement—so NXP is now using four of your solutions, which I think is probably up from one or maybe two. Are you seeing more interest from customers to deploy an entire suite of solutions? And I would imagine that if you do get customers that are deploying the entire suite, that puts your licensing ASPs well above the $1,000,000 that you were targeting a couple years ago?
Karel Charles Janac: Yes. Absolutely. And if you use everything from us, prior to the Cycuity acquisition, you are going to be well north of $1,000,000. And with Cycuity, it is going to be higher than that. So we basically have more to sell to our customers. And cybersecurity is a big issue now. A lot of markets such as automotive and aerospace, and even data center, are requiring ISO 21434 certification for cybersecurity protection. And so, you know, we think that this certainly helps drive the ASP significantly above the $1,000,000 average project size. And also, the other thing that is helping to go above the $1,000,000 is that the chiplet projects where you are dealing with multiple pieces of silicon where essentially every chiplet is a license and every chiplet is a royalty, also helps that trend. So we are very positive about the dynamics of our business. Yes.
Kevin Garrigan: Got it. That makes a ton of sense. And then, Nicholas, just a question for you. Can you talk a little bit more about the strength in royalties that you saw? Was there a specific end market that saw surprising strength, or was it more just about your customer diversification strategy?
Nicholas Bryan Hawkins: It is a little bit of both. And hi, Kevin. Thanks for joining the call. You may have seen that the number of major reporters has grown from one, five years ago to three about two years ago to nine today. So there are big reporters of the six-figure-plus per quarter royalty reporters. That is a really important metric to us. And one of the issues that we look at there is looking at the spread across geos and also across market verticals. Of those nine large reporters today, they are spread across several segments. There are several in the automotive segment, and that remains our largest single vertical. But we do have now a very rapidly emerging consumer, enterprise, and even now aerospace large reporters. So I am very happy that it is a broad spectrum of strength and look forward to some further growth in the future.
Kevin Garrigan: Yes. Got it. Okay. Perfect. Thanks, guys, and congrats on the results.
Karel Charles Janac: Thank you.
Kevin Garrigan: Thanks, Kevin.
Operator: Once again, if you would like to ask a question, please—our next question is from Gus Richard from Northland. Your line is
Gus Richard: Yes. Thanks for taking the question and congratulations on the results. In Q4, the royalties had a significant quarter-on-quarter step up. Is there any catch-up royalty in that number? Or should we expect that to be the run rate going forward, with a seasonal bias?
Nicholas Bryan Hawkins: Yes. No. That is an excellent question, Gus. And this is Nicholas, by the way. There was a single royalty pickup which was reasonably sized. It was less than half $1,000,000, but that is a decent pickup which we saw in the fourth quarter. So it did get a bit of a boost from that. So the 50% variable increase includes that. If you exclude that, the growth rate year over year was still in the low 40s percent, which is above our trajectory and our longer-term guidance CAGR for the next five years. So we are very happy that it is already growing at that rate. Audits—you can never guarantee when they are going to produce a positive result for the company. When they happen, they are great, but you cannot bank on them.
Gus Richard: Got it. And then, just a little bit about Cycuity and its impact on the P&L. My top line went up at the midpoint of guidance about $7,000,000. How much of that was Cycuity for the full year? And then can you talk a little bit about the impact on the P&L in terms of step up in OpEx going forward?
Nicholas Bryan Hawkins: Yes. No, it is another excellent question, Gus. So, yes, of the $91,000,000 midpoint guide—it is $89,000,000 to $93,000,000 as the range for revenue in 2026—of that $91,000,000, approximately $7,000,000 is Cycuity. So $84,000,000 is the Arteris, Inc. original business. And that represents about a 19% year-over-year growth. As far as the rest of the financial impact from Cycuity, we do expect them to be a slight contributor to the loss for the year, so about $1,000,000 worth of loss. By the fourth quarter, we expect them to be roughly breakeven, which is in line with the pre-Cycuity Arteris, Inc. business. And as far as free cash flow is concerned, we are also expecting them to be something like a $1,000,000 to the negative over the full year and about $1,500,000 negative in the first quarter. This often happens in acquisitions, as I am sure you have seen before. And there is a little nuance around gross margins. Some of the government work that they do actually involves subcontractors. And the GAAP accounting for subcontractors is that those expenses are not OpEx. They are treated as cost of revenue. So there is something like a one to two percentage point drop in gross margin intensity. But that is literally a flip between OpEx and gross margin.
Gus Richard: Okay. Got it. That was helpful. And then my last one is, when you did the Cycuity acquisition, you guys announced an ATM and you were going to use that to replace the cash that you used for the acquisition. And I am just wondering where are you in that equity-raising effort and when can we expect that to conclude?
Nicholas Bryan Hawkins: So we are in the process of going through the activation, Gus. We cannot activate during a quiet period, as you probably know, because we have MNPI during that period before we announce our results. So we will be going through the activation process shortly. We then are going through a process of setting up the traditional guardrails. We have a pricing committee on the board, and they will agree guardrails in terms of pricing and quantum. So you can expect maybe some small amounts to dribble through in the first quarter. It just really depends on how the market moves and so on. We have no intent at the moment to utilize anything close to the full amount that is available there.
Gus Richard: Thanks for the help.
Operator: There are no questions at this time. I would now like to turn the conference back to Karel Janac for the closing remarks. Please go ahead.
Karel Charles Janac: Okay. Thank you for your interest in Arteris, Inc. We look forward to meeting with you at the upcoming non-deal roadshow and investor conferences in the quarters ahead and updating you on our business progress. Thank you very much.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.